Operator: Good afternoon, ladies and gentlemen and thank you for standing by. Welcome to the FAT Brands Inc., Second Quarter Fiscal 2022 Earnings Conference Call. At this time, all participants been placed in a listen-only mode. Please note that this conference is being recorded today, July 28, 2022. On the call today from FAT Brands are; President and Chief Executive Officer, Andy Wiederhorn; and Chief Financial Officer, Ken Kuick. By now, everyone should have access to the earnings release, which can be found on our Investor Relations website at ir.fatbrands.com in the Press Release section. Before we begin, I need to remind everyone that part of our discussion today will include forward-looking statements. These forward-looking statements are not guarantees of future performance, and therefore, undue reliance should not be placed upon them. Actual results may differ materially from those indicated by these forward-looking statements due to a number of risks and uncertainties. The company does not undertake to update these forward-looking statements at a later date. For a more detailed discussion of the risks that could impact future operating results and financial condition, please see today’s earnings press release and our recent SEC filings. During today’s call, the company may discuss non-GAAP financial measures, which it believes can be useful in evaluating its performance. The presentation of this additional information should not be considered in isolation nor as a substitute for results prepared in accordance with GAAP. Reconciliations to comparable GAAP measures are available in today’s earnings release. I will now turn the call over to Andy Wiederhorn, President and Chief Executive Officer.
Andy Wiederhorn: Thank you, operator and hello, everyone. We sincerely appreciate you joining us today and for your interest in FAT Brands. This afternoon, we made our second quarter 2022 financial results publicly available. Please refer to the earnings release and our earnings supplement, both of which are available in the Investors section of our website at www.fatbrands.com. Each contain additional details about the second quarter, which closed on June 26, 2022. I would like to start by thanking our entire team who have worked diligently as we continue to scale this business. It is due to the hard work of our team members, franchisees and their employees that we move forward with confidence in the long-term opportunities for FAT Brands. Now, I would like to discuss our performance in the most recent second quarter. I am pleased to report that the strong sales momentum we experienced in the first quarter of 2022 continued into the second quarter. Specifically, we reported total revenue of $102.8 million in the second quarter of 2022 compared to $8.3 million in the second quarter of 2021. The significant increase in revenue was a result of the 2021 acquisitions we made, coupled with ongoing sales recovery from the negative effects of the COVID-19 pandemic in the prior year. Comparable system-wide same-store sales increased 5.6% for the quarter. Equally impressive, system-wide sales grew to $553.4 million or by 284% when compared to the prior year quarter. When looking at our legacy FAT Brands portfolio, which includes only the brands we own for all of 2021, system-wide sales increased 7.5% for the same period. For the full fiscal year 2022, we remain on track to deliver an annual run rate revenue of approximately $400 million with system-wide sales of over $2.2 billion. Our top line growth was matched by an equally robust increase in adjusted EBITDA. Adjusted EBITDA increased to $29.5 million in the second quarter, following a strong Q1 adjusted EBITDA of $15.1 million. Looking to the second half of the year, we expect both Q3 and Q4 adjusted EBITDA to be similarly strong for an annualized run rate adjusted EBITDA of approximately $90 million to $95 million for fiscal year 2022. FAT Brands continues to grow both organically and through acquisitions. We’re very pleased with the progress we’ve made against our asset-light growth strategy as we have expanded our portfolio to 17 restaurant brands with approximately 760 different franchisees who operate in aggregate of 2,227 franchise restaurants in addition to our 127 company-owned stores. Today, with a total of 2,350 restaurants open, we are approximately the 25th largest restaurant company in the country by unit count. We believe we have a strong trajectory of growth ahead through both verticals. Looking at our organic growth strategy. During the second quarter, we opened 26 restaurants, bringing our year-to-date openings to over 60 restaurants with plans to achieve approximately 110 to 120 new restaurant openings this year. As we integrate the 8 new restaurant concepts that we acquired in 2021 within the FAT Brands portfolio, we are seeing robust demand from our existing and new franchise partners to add a variety of our brands to their portfolio of restaurants. In fact, we have over 325 multiunit franchisees at the end of Q2. We also continue to play into the synergistic nature of our portfolio with co-branding. We’ve experienced great success by co-branding Fatburger and Buffalo’s Express and by co-branding Marble Slab Creamery and Great American Cookies. We see great value in pairing other similar brands in our portfolio together as a way to drive additional revenue growth. For example, in the near future, we will be co-branding a Round Table Pizza with a Fatburger, as well as a Johnny Rockets with a Hot Dog on a Stick. All 4 iconic California-based brands each have very low customer base. Our restaurant development pipeline continues to be robust with over 900 restaurant commitments signed and paid for, which represents an additional 38% unit growth and will provide us with an estimated $50 million in incremental adjusted EBITDA or approximately 50% EBITDA growth over the next few years. At the end of August, we will host our Biannual Franchisee Convention in Las Vegas, where we expect approximately 2,000 of our franchisees, suppliers and significant stakeholders to participate. This will be the first time that we are hosting our in-person convention since the pandemic began. We are looking forward to this gathering and the energy it will bring to the entire organization. There will also be an opportunity to further our development pipeline as we will be offering incentives for franchisees to buy additional restaurants. Another important part to our growth strategy is our Atlanta-based manufacturing facility, which produces pretzel mix and cookie dough for several of our brands. During the second quarter, our manufacturing facility generated over $8.6 million in sales. In addition to being accretive to revenue and EBITDA, our manufacturing facility helps our franchisees mitigate supply chain issues and purchase goods at an approximate 20% discount relative to the price they could get from retail distributors. We believe our factory business today is in its early stage of growth, operating at about 30% capacity with significant white space to expand. Our focus is on adding to the goods we currently manufacture for our entire portfolio of brands and selling goods to third-party brands not in our current portfolio. Notably, we recently hired a VP of Manufacturing Sales to promote our manufacturing business to third-parties where we can add value. Now turning to FAT Brands’ second strategic pillar; growth by acquisition. Our primary goal for 2022 has been to digest the 8 new restaurant brands we acquired in 2021 and to identify and capitalize on potential synergies and cost savings as we scale the business. That being said, there are a number of strategic acquisition candidates that could fit within our current operations or give us the chance to acquire additional strategic platforms as well as fill out our factory business. We are considering how to capitalize on these opportunities in a manner that would be de-levering to the business, such as using some form of our publicly-traded common and preferred equity securities. This could also improve our publicly-traded flow, of course, subject to watching the limitations of issuing equity that could affect the preservation of our very valuable and substantial net operating tax loss carryforward. When evaluating potential acquisition targets, we focus on brands with a proven track record of long-term, sustainable and profitable operating performance, and that can show an existing pipeline or path to significantly grow their business rather than focus on brands that need significant turnaround efforts and are simply cheap to buy. These acquisition opportunities take time to complete, and there is no guarantee that we will get any of them done. However, we think there are interesting targets available in the market today. We may combine one or more of these opportunities with our refinancing efforts as well. During the quarter, we acquired the Nestle Toll House Cafe by Chip Franchise Business from Crest Foods, Inc., and are in the process of rebranding the approximately 85 stores as Great American Cookies. We are set to open our first converted store in September. We believe this tuck-in acquisition will increase our foothold as a leader in the cookie and ice cream dessert category, joining our existing Great American Cookies and Marble Slab Creamery brands. Though we are focused on our deep organic growth pipeline this year, we saw great value in making this accretive acquisition. These stores will fold seamlessly into our Quick Service division and provide us the opportunity to utilize the capacity of our manufacturing business, providing supply chain efficiencies and cost savings. To-date, acquisitions have been a strong growth vehicle for FAT Brands and we anticipate the combination of our production and distribution facility and scale to increase the profitability of the franchisees that have joined us with this acquisition. Diving back into synergies, we have a seasoned senior leadership team in place that has experience in identifying synergies and removing excess overhead across our portfolio of brands. Notably, our Corporate IT systems have now moved to a shared service model, focusing on bringing our 17 brands together on a simplified, functionally robust, scalable and efficient platform. This new shared services model will allow our brands and franchisees to use technology to drive additional traffic to be where the guest is through delivery and enable customers to order on their terms; be it drive-thru, in the restaurants, online or on mobile with their own devices. As you know, we are currently in a period of historically high inflation with supply chain challenges. However, with 17 brands in our portfolio, we are fortunate to have both strong purchasing power and relationships with our suppliers and distributors. As a result of our purchasing power of more than $600 million per year in food, beverage and paper costs, we were able to generate savings for our franchise partners of approximately 2% to 3%, which is beneficial in the – in this inflationary environment. We continue to aggressively negotiate with our suppliers and manufacturers so that we can provide our guests the highest quality and freshest ingredients at competitive prices. That said, menu price increases are inevitable in this current environment. We have encouraged our franchisees to take price where necessary. That means, increasing price, so that they can continue to profitably operate and serve their communities. When it comes to menu price increases, we look to implement smaller increases over time, so we lessen the price impact on our consumers. It’s important to note, though, that we have started to see the cost of goods come down even though at somewhat of a slow rate. Looking at our balance sheet, we are working with our bankers in actively pursuing the rating and refinancing of our different securitization facilities beginning with our FAT 2021 and FAT GFG 2021 Securitization Trust. Given the choppiness of the capital markets and the fairly long lead time with the ratings process, we think any potential refinancing will likely be either a Q1 or Q2 2023 event rather than Q4 of this year. In addition, we are working on the planned redemption of $135 million of our Series B preferred stock from the sellers of Twin Peaks and the sellers of Global Franchise Group, sometime over Q3 and potentially Q4. The securitization refinancing and the preferred stock redemption will each provide substantial savings from a free cash flow perspective by lowering our cost of capital, which is a top priority for us. It is important to note that earlier this month, on July 15th, we announced that we have raised our third quarter common stock, Class A and Class B dividend from $0.13 per share to $0.14 per share, representing a 7.7% increase in the dividend rate, which further demonstrates our desire to reward our investors with quarterly dividend distributions. We recently strengthened our current Board of Directors with the elevation of James Neuhauser to Executive Chairman of the Board, and added Lynne Collier to our Board as New Independent Director. Our prior Chairman, Edward Rensi will transition to the role of Vice Chairman of the Board of Directors who will continue to provide strategic counsel of FAT Brands and serve as our Lead Independent Director. Jim and Ed have been tremendous assets to FAT Brands over the last 5 years as we have reached a whole new level of scale. I look forward to tapping further into Jim’s deep expertise in the public equity markets. I’m also pleased to welcome Lynne, who brings a new skillset to our Board as an experienced restaurant analyst. In summary, the opportunities ahead for FAT Brands are considerable, and we are well positioned for growth. FAT Brands is built on providing an authentic, superior dining experience, and I’m confident our brands will weather this current economic environment. We have a seasoned senior leadership team, coupled with a strong and dynamic brand management platform capable of seamlessly and cost-effectively integrating new brands. We also have a healthy and growing development pipeline that will fuel organic growth and naturally further de-lever us for many years to come. We look forward to updating you on our progress on future calls. And with that, I would like to hand the call over to Ken to talk about our financial highlights from the quarter.
Ken Kuick: Thanks, Andy. Our total revenue during the second quarter increased 1,141% to $102.8 million, reflecting revenue from Global Franchise Group, Twin Peaks, Fazoli’s and Native Grill & Wings; all of which were acquired during 2021. Additionally, revenue benefited from the ongoing recovery of the negative effects of COVID-19 in the second quarter. Cost and expenses increased to $89.6 million in the second quarter compared to $7.2 million in the second quarter of 2021. Included in costs and expenses, general and administrative expense increased to $20.8 million in the second quarter from $5.1 million in the prior year period. This increase was attributable to the 2021 acquisitions, coupled with increased compensation costs, professional fees and travel expenses, reflecting the significant expansion of the organization. I’ll also add that beginning in the second quarter, we are presenting depreciation and amortization expense separately from general and administrative expense. Depreciation and amortization expense increased to $6.7 million in the second quarter from $0.4 million in the year ago quarter, attributable to the 2021 acquisitions, including depreciation of acquired company-owned restaurants and the amortization of acquired intangible assets. Cost of restaurant and factory revenues increased to $49.8 million in the second quarter compared to $0.2 million in the prior year period, primarily related to the 2021 acquisitions, including the operations of the acquired company-owned restaurant locations and the Atlanta-based manufacturing facility. Advertising expense was $11.6 million in the second quarter compared to $1.4 million in the prior year period. These expenses vary in relation to the advertising revenue and reflect advertising expenses related to the 2021 acquisitions and the increase in customer activity as the recovery from COVID continues. Other expense for the quarter was $21.6 million compared to $9.1 million in the year ago quarter and was primarily comprised of interest expense on our securitizations. Other expense for last year’s quarter included a $6.4 million loss on extinguishment of debt that did not recur this quarter. Net loss for the quarter was $8.2 million or $0.50 per diluted share compared to a net loss of $5.9 million or $0.48 per diluted share in the prior year quarter. And on an as adjusted basis, our net loss was $3.1 million or $0.19 per diluted share compared to $1.1 million or $0.09 per diluted share in the prior year quarter. And with that, Paul, please open the line for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question is from Joe Gomes with NOBLE Capital. Please proceed with your question.
Joe Gomes: Good afternoon, Andy and Ken. Congratulations on the quarter.
Andy Wiederhorn: Thank you. Hi, Joe.
Ken Kuick: Thank you.
Joe Gomes: I just wanted to start off, you know store openings in the second quarter were 26. I think in the first quarter, they were 27. You know, you’re talking about you know up to 120, I think it’s up previously from your estimate about 100. You – your momentum there continues to build even in the face of the current economic environment.
Andy Wiederhorn: Very, very strong momentum. We’re at 62 stores year-to-date through today. We’ll be in the 70s and 80s by the end of August. So, a lot of openings going on right now, which is, you know a big effort by then. But very, very strong, and you know we’re going to hit that north of 100, probably up to 120 new store openings in this calendar year and – and probably as many if not more in 2023. We already have 50 or 60 under construction right now for 2023. So, very strong demand by franchisees. The only thing that – that slows us down at all - as you – as you know, is the availability of equipment like freezers and fryers and things like that, that just are taking longer to get these days than normal. But I’m sure that, that will catch up here shortly.
Joe Gomes: Okay. And similarly you know again, continue to show you know really good same-store sales. You know on the owned locations, you know Twin Peaks, et cetera, everything continues to move well with those. You’re not seeing any slowdown in any of the owned locations?
Andy Wiederhorn: The management team at Twin Peaks continues to hit the ball out of the park. They’re – they’re just doing a great job. There is extremely strong positive same-store sales, very solid development, very solid new franchise sales to back that development pipeline, a focus on the middle of the P&L right now for the company-owned stores, labor and food costs, things like that as you get through the summer. You know there’s a little bit of seasonality to that business just because you don’t have sports at the same intensity year-round and certainly Twin Peaks is a sports bar. But you have a little bit of lag in the summer here in July, but we’ll be back to football in August and you know pre-basketball things. So you know we’re heading that way and strong – so we’re just very strong, and continue to be double-digit year-to-date.
Joe Gomes: Excellent. And you – you talked a little bit about the – the factory and the utilization there and – and one of the goal was to get the utilization up on the factory. Did the Nestle acquisition have any real impact? Or is that de minimis given the size of the acquisition?
Andy Wiederhorn: No, it’s – it’s very important. You know it’s another 85 to what could be a 100 new stores coming into Great American Cookie and you know essentially, it could be another couple of million dollars of factory profit just from that Nestle addition. So, here we bought the royalty stream, but we – we didn’t really pay for the manufacturing business that came with it. And so producing the dough ourselves instead of those Nestle franchisees buying dough from a third-party will give us an additional couple of million dollars. It was really an opportunistic deal because for the seller, you know they brought in a couple of million dollars a year of royalties and netted maybe $1 million in their business after overhead. For FAT, we not only get those royalties with lower overhead, because we have the synergies, but then we also get a couple of million dollars in manufacturing profit. So it’s a very, very good purchase for us strategically to have that factory and make that additional churn of EBITDA that – that other buyers couldn’t get.
Joe Gomes: Great. And maybe could talk a little bit on the – the rating and the – on the whole business securitization. Originally, your goal was to get that done in the first half of this year. And now as you mentioned today, probably this is now you know first half or next year. You know just kind of maybe you can walk us through as to you know what is that just making the process drag out for you know – potentially another year –
Andy Wiederhorn: Yeah I mean the – first thing I’d say –
Joe Gomes: From your original expectations.
Andy Wiederhorn: First thing I’d say is, turn on the TV. I mean, the – you know the economy, in general, has just you know given pause to the – the credit markets. And so, when you see the high-yield market and the asset-backed securities market takes such a pause and catch their breath going into you know the – the first and second quarters, it just slowed things down. We – one, we had – we had to really absorb the acquisitions you know that – that we made. We are coming up now and this month is the one-year anniversary of the GFG deal. We decided to look at putting the FAT 2021 deal, which is really our burger restaurants into the GFG deal, which are the Round Table Pizza, cookies and ice cream, hot dogs, pretzel business and do sort of one larger deal and – and have you know trying to spread the cost across that one larger deal. So that’s a little bit more time to have that track record under our belt of owning it for a year. There are some changes in the rating agencies in terms of how they’re doing business right now. And so originally, when we had planned to you know try to come back to market at the end of Q1 or sometime in Q2 of this year, we thought that you know some of the agencies would be back with whole business securitization ratings programs, and one of them, in particular, was not and – and doesn’t expect to be until the end of you know Q3 or sometime in Q4. So that slows things down. And then just – just the overall interest rate environment. I mean, we – we will miss some of the savings, no question from higher rate environment. We will also have higher revenue and – and make up some of that savings because of inflation, because of price increases, we will collect more royalties off the top line. So, you know it’s not as bad as it seems. And you know we have – we have plenty of time and you know to get the securitizations done and rated and reissue, we just want the markets to calm down you know I think everyone’s hopeful, right, that rates will calm down a little bit by the – at Q1. And we’re – we’re absolutely starting the ratings process now, we’re not waiting. It’s just a long process. It takes six months to get the transaction rated and you have to make sure that the agency is prepared to handle it. So I’m just cautiously guiding towards the Q1 worst-case Q2, but we hope it’s Q1 you know transaction. And that’s – that’s based upon the advice of our bankers. I’m not just coming up with that on my own.
Joe Gomes: Okay. And one last one for me, and I’ll let someone else ask a few. You know the – the preferred B redemption. You know how do you see that occurring now in terms of how you plan on financing that?
Andy Wiederhorn: Yeah. So, we have additional credit available under our existing securitization facilities based on similar leverage multiples, it’s just much better performance because when some of those securities were issued like the FAT 2021, the burger deal or the GFG deal for Global Franchise Group, we were basing that off 2020 data, not 2021 data. And now we’ve had a recovery to normalize operations using the same leverage multiples it provides for additional liquidity in those facilities. And so we have the ability and have accessed those facilities to start to and to structure some additional bonds that we would basically move the preferred stock into bonds one way or the other by either third-parties coming in or otherwise to redeem that stock. It’s ultimately a savings from a cost of capital standpoint and you know it’s – it’s national. Even though those bonds are going to get called and get reissued just as quick as possible. You know we have an obligation to redeem the preferred stock. It’s expensive leaving it out there at this stage. So that’s our focus, and we think we can get that done probably by the end of this quarter; maybe it drags a little bit into – into Q4. I don’t think so. I think it will get done you know shortly.
Joe Gomes: Great, Andy. Thanks for – for taking my questions. Appreciate it.
Andy Wiederhorn: Thank you, Joe. Operator, next question, please.
Operator: Thank you. Our next question is from Gregory Fortunoff, Private Investor. Please proceed with your question.
Gregory Fortunoff: Hey, Andy. How are you?
Andy Wiederhorn: Hi, Greg.
Gregory Fortunoff: Hey, nice numbers. The only question I have is, how come you’re – you’re not using – extrapolating out and getting us $100 million to $104 million of EBITDA that – that would lean into? Are you just trying to be conservative?
Andy Wiederhorn: Well, sure. I mean right now, look – look – 2023 you know 2023 should be certainly as good if not better than 2022. But just given the noise in the economy, it’s hard to forecast what sales might do 6 months or nine months or 12 months out from now. So that – that’s why you know I think we’re being cautious right now. You know – we’re – like I said, we’re continuing to see very strong sales across most of the brands. There’s some seasonality to it. But you know if things go the right direction, then that number will increase more, and you know we’re all optimistic of it. I just want to be conservative in our projections today.
Gregory Fortunoff: So for – if we – if we want to start looking out and just thinking about the future, I mean, at least for the next, let’s say, three or four quarters is – is like 29 to 30 be the right – is that going to be the run rate that you’re going to move to?
Andy Wiederhorn: Well, I think –
Gregory Fortunoff: For EBITDA?
Andy Wiederhorn: Because there’s some seasonality – I think there’s – because there’s some seasonality you know it’s safer in the – moving to the $95 million to $100 million range up from $90 million to $95 million you know over the next few quarters. But remember that, we’re adding $10 million a year going forward of new store openings just drops to the bottom line and you know very little closures that have any material effect you know and usually stores that close are very low revenue stores. And so that – that just continues to build and build. Now, as we open – we’ve opened 62 stores year-to-date, we haven’t had six months of income from those 62 stores. We only had a few months of income, because they didn’t open on January 1. And the same will be true as we go throughout you know 2023. So, we end 2023 with another 120 stores, we’ll be getting the full benefit of that in 2023 that we didn’t get in 2022, plus we’ll get the incremental benefit of those additional stores for a partial year in 2023. So there’s always a little bit of a lag, but it’s solid. You know it’s solid, it compounds and you know naturally de-levers us, because EBITDA just goes up if we don’t borrow another dollar, we just amortize that or anything else we do. Our EBITDA is growing and we’re de-levering.
Gregory Fortunoff: Andy, how are the stores doing in this kind of environment? Or you know assuming they did take share, are they at least maintaining their margins because, obviously we need the franchisees to be you know making some money just to stay in the game.
Andy Wiederhorn: Yeah. So I’m a big believer in coaching franchisees to maintain profitability and maintain margin. If – and part of being you know a part of a system is that, you get that kind of coaching, you get that kind of counseling from our franchise business consultants that are out in the field everyday meeting with franchisees, looking at their numbers. We collect P&Ls as often as we can from the franchisees and go over their margins. And it’s really important you know, an independent operator can be afraid to take price, to increase their price, because they don’t want to lose customers. But if you’re part of a system, the systems got to teach and coach you that you have to maintain your margin. You can’t do this for free. And you know look, if commodity costs come back down, they can you know change – those prices. You know, we all rarely remember seeing restaurants lower their prices, but it’s important to maintain the margin and so that they’re profitable. You don’t want to be the independent operator that doesn’t take price and finds out at the end of the year, they didn’t make any money and they end up going out of business. So you know it’s important and we’re all over that.
Gregory Fortunoff: I would think that they wouldn’t lower price. You know customers are used to it, and they make down a little bit of extra margin, but I guess they all have to decide. Andy, going into 2023 or whenever, when do you think you’ll be you know stop burning cash like from the P&L point of view, is it – is there – you know based on what you know now and assuming a refinance in the first quarter, do you have a timeframe for like a breakeven all-in with the dividend and everything?
Andy Wiederhorn: That’s a very good question, and you’re right on track with that. With the new store openings, with the refinancing in effect, we should – at the conclusion of those two things, it should be around the end of Q1 that maybe it’s by the end of Q4. But let’s just say at the end of Q1 to be conservative that we should be at a point where even after the payment dividends, there’s positive excess cash flow you know above and beyond interest payments and anything else. And you know we don’t – unlike a lot of restaurant companies, because we’re so asset-light, we’re not burning through capital to build new stores. We – we’ve allocated a certain amount of capital at the Twin Peaks level to build additional company-owned stores, but just a few of them every year, and they’re – they’re really using kind of a hub and spoke model to you know seed to markets, get them up and running and then bring in franchise developers to run from there and use our corporate stores to support the franchisees. And so you know that – that idea seems to be solid and working and you know that – that business doesn’t trip that much capital. So I don’t really see us you know having you know a constant need to raise capital going forward unless some acquisition in some way. And as I mentioned very clearly in my remarks earlier, if we want to do that in a de-levering way, however, possible just so that you know we’re not racking up more debt through the sake of raking up more debt.
Gregory Fortunoff: So what – what was the answer? I’m sorry, when – when is it going to be cash flow –
Andy Wiederhorn: I think by the end of Q1. The only – the only difference would be, if the refinancing takes even longer, then – then it would be the end of Q2. That’s somewhere in there, somewhere in the next you know six to nine months, I expect it to get done.
Gregory Fortunoff: Okay. Fantastic. Andy, you guys are doing a great job. Keep it up, and I’ll see you in Vegas. Thanks.
Andy Wiederhorn: Thank you very much, and we look forward to it. Operator, any other questions anyone has?
Operator: [Operator Instructions] Our next question is from Roger Lipton with Lipton Financial. Please proceed with your question.
Roger Lipton: Yes. Hi, Andy. Good progress, obviously. I resume – I got on so late. I was trying to ask the question on my – my cellphone, you know would take the prompt, so I had to dial in on that anyway. So, it’s my couple of technological challenge here –
Andy Wiederhorn: Got on the LAN line, right?
Roger Lipton: Yeah, exactly. Can you give us an idea of which concepts are really provided in the openings as well as – you mentioned Twin Peaks is doing very well in terms of – give us a little more idea of which are the strongest, obvious – of the – what I consider the six largest Hurricane, Fatburger, Johnny Rockets, Round Table, Twin Peaks and Fazoli’s, obviously you know where they share large deal, the most material concepts. Which are the strongest in terms of openings and same-store sales?
Andy Wiederhorn: Yeah. There – there is a slide on our investor website that shows the pipeline by brand of – you know of the backlog so you can see how much of it is in the QSR division, the Casual division. So we have a lot of growth at Twin Peaks. They’re going to get to 100 stores approximately by the end of the year, and there’s 130-plus stores in the pipeline there. So very steady of 10 to 20 stores a year. In the Burger category, fast-casual, we’ve got just dozens of deals for Fatburger, Johnny Rockets domestically and internationally to build new stores. Similarly, Fazoli’s on the QSR side has a nice pipeline, but you also have Round Table and Great American Cookie and ice cream brand, Marble Slab that has really solid growth. So, I don’t see it as much in the casual dining space, which is what you’d expect, right? We’re not seeing Hurricane, Buffalo’s, Native, Ponderosa and Bonanza, knock out 10s and 20s in terms of incremental stores, but there’s a few new stores here and there. It’s really in the polished casual dining segment and then in QSR and in fast-casual. And then – and then, of course, there’s growth in the factory.
Roger Lipton: Is that slide in the second – in the Q2 presentation, I kind of looked at it quickly, I didn’t see it.
Andy Wiederhorn: I don’t think it’s in the Q2. I think it’s in the – in the June investor deck that’s on the website and out there already, but it is – it is out there.
Roger Lipton: Okay, okay. All right, we can talk that little – little more better another time. And most of my other questions have been asked. So I’ll let you go. But good job then. I’ll talk to you soon. Thank you.
Andy Wiederhorn: Thank you very much.
Operator: Thank you –
Andy Wiederhorn: Operator, I don’t see any other questions.
Operator: There are no further questions at this time. I’d like to turn – turn the call back over to Andy Wiederhorn for any closing remarks.
Andy Wiederhorn: Thank you, operator. I’d like to thank everyone for joining us today and – and wish you all a good evening and good rest of your summer. Thank you very much.
Operator: This concludes today’s conference call. You may disconnect your lines at this time. Thank you for your participation.